Operator: Good day, everyone, and welcome to the First Solar Third Quarter 2009 Earnings Conference Call. This call is being webcast live on the Investors section of First Solar's web site at www.firstsolar.com. At this time, all participants are in a listen only mode. And as a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Larry Polizzotto, Vice President of Investor Relations for First Solar Incorporated. Mr. Polizzotto, you may begin.
Larry Polizzotto: Thank you. Good afternoon, everyone, and thank you for joining for First Solar's fiscal third quarter 2009 conference call. Today after the market closed, the company issued a press release announcing its third quarter 2009 financial results. If you did not receive a copy of the press release, you can obtain one from the Investor Section of First Solar's website at firstsolar.com. In addition, First Solar has posted the third quarter presentation for this call, key quarterly statistics and historical data and financial and operating performance on our IR website. We will be discussing the presentation during the call and the webcast. An audio replay of this conference call will also be available approximately two hours after the conclusion of this call. The audio replay will be available until Monday, November 2, 2009, 11:59 Eastern Daylight Time, and can be accessed by dialing 888-203-1112 if you are calling within the United States or 719-457-0820 if you are calling outside the United States, and entering ID 1744958. A replay of this webcast will be available on the Investor section of the company's website approximately two hours after the conclusion of this call and remain available for 90 calendar days. Investors may access the webcast on the investor section of the company's website at firstsolar.com. If you are a subscriber of FactSet and Thomson One, you can also obtain a written transcript within two hours. With me on the call today are Mike Ahearn, Executive Chairman, RobGillette, Chief Executive Officer, Jens Meyerhoff, Chief Financial Officer, and Bruce Sohn, President of First Solar. Mike will begin with an overview of the company's third quarter achievements followed by a market and business update. Jens will then provide you with the third quarter 2009 operational and financial results and provide an update to our guidance for 2009. We will then open up the call for questions. During the Q&A period, as a courtesy of those individuals seeking to ask questions, we ask that participants limit themselves to one question. The company has allocated approximately one hour for today's call. I want to remind you that all numbers reported and discussed on today's call are based on U.S. Generally Accepted Accounting Principles unless otherwise noted. Now I would like to make a brief statement regarding the forward-looking remarks that you may hear on today's call. During the course of this call, the company will make projections and other comments and forward-looking statements within the meaning of the federal securities law. The forward-looking statements in this call are based on current information and expectations, are subject to uncertainties and changes and circumstances, and do not constitute guarantees of future performance. Those statements involve a number of factors that could cause actual results to differ materially from those statements, including the risks as described in the company's most recent annual report on Form 10-K and other filings with the Securities and Exchange Commission. First Solar assumes no obligation to update any forward-looking information contained in this call, with respect to announcements described herein. Before I turn the call over to Mike Ahearn, I would like to mention that during the fourth quarter of 2009, the company will meet with investors at the following conferences and road shows. First there will be an East Coast road show to New York City, Boston and Baltimore, November the 3rd through the 6th. Then there will be a Texas road show to Dallas Houston and Austin, November the 6th through the 18th. We will be attending the Credit Suisse Technology conference in Scottsdale Arizona on December the 2nd. And then Los Angeles road show on December the 3rd and then a Barclays Capital Growth Global technology conference in San Francisco 12/08 through the 9th, and then in addition First Solar plans on announcing hoisting a conference call on December the 16th with Investors to communicate our 2010 annual guidance. We will provide more details on this later. It is now my pleasure to introduce Mike Ahearn, Executive Chairman of First Solar. Mike?
Mike Ahearn: Thanks Larry. Good afternoon and thanks for joining First Solar for our third quarter earnings call. Before discussing the quarterly results, I would like to briefly introduce Rob Gillette our new CEO. Rob assumed the CEO position on October 1. He has been immersed in the business and the organization work for the past three weeks, making excellent progress with the transition. We are delighted to have Rob on board. Starting next quarter Rob will join the hands in delivering the quarterly discussion. For today, but I thought we do ask Rob at least say a few words to you by way of instructions. So go ahead Rob.
Rob Gillette: Thanks Mike and pleasure to meet all of you at least over the phone and I look forward to working with you. As Mike said, I've been immersed in learning all about the power industry and the solar industry. So I have been pretty busy over the last three weeks in learning a lot, and it's a great opportunity to lead First Solar. Mike's been great at helping me and educating me and allowing me to dig in with the team and learn all about the business. So, I am looking forward to continue to drive the results, great success that we've had in the past and into the future. So, thanks for the introduction and I'm excited to be here.
Mike Ahearn: Okay. Thanks Rob. So, turning to the quarterly results, we had another strong quarter in Q3. Our net sales were $480.9 million that drove net income of $153.3 million and diluted earnings per share of $1.79. The rebate program was administered throughout the quarter and had some downward effect on our gross margins although as you can see gross margins remain at a relatively strong level, slightly over 50%. From the timing perspective, although we shipped all of the modules we produced in the quarter, we were unable to recognize revenue on shipments into our Sarnia project in Canada that represented about $58 million of revenue. This is truly a timing issue. That project has been sold, the contract wasn't signed until early in the fourth quarter. We remain on track for annual guidance and Jens will provide the additional detail on that when we get to this part of the discussion. Operationally production was 292 megawatts, slightly above that up 1% quarter-over-quarter. Our annualized capacity per line grew to 53 megawatts, that's up 2.5% over the quarter. Efficiency was up 11% and was at 11% on average, up 0.1% and the combination of higher watt throughput and a number of other operational improvements drove manufacturing cost reduction to $0.85 a watt. So that is down 2% quarter-over-quarter, 21% year-over-year. The quarter-to-quarter changes here obviously aren’t dramatic. We don't expect them to be necessarily because as you know most of the conversion efficiency and cost initiatives significant ones are event driven rather than time driven. The most important takeaway for us is that we remain on track to the five-year program we've laid out at the analyst call in terms of manufacturing cost per watt and conversion efficiency. Things are progressing nicely. We made significant progress in Q3 building our pipeline of business for the future in new markets. We signed power purchase agreement that totaled 550 megawatt AC, so right around 656, 60 megawatt DC, with Southern California out of them. We announced the MOU with the city Ordos in China to develop 2 gigawatts of the plant, which I will talk about here in a minute. We signed at 55 megawatt AC PPA agreement with LADWP. We sold the Sarnia project as I mentioned, the 20 megawatt project to Enbridge. The added significance there is that Enbridge is a major player in the natural gas business in Canada and the U.S. and we believe we will be an ongoing customer for First Solar in a very significant model. We announced previously that we are working with UV, supplying UV on 27 megawatt worth of installations in Florida and Ohio, which I will talk about, which marks a move of sorts with our European customers into serving the U.S. project business as well. In terms of market environment, I think our presence are generally consistent with a lot of the analyst reports that have been published over the past several weeks. We are seeing strong demand in Germany, that's triggered mainly by the impending digression rate for [inaudible] as of January 1, that's unlocked a lot of activity. Demand factors in Italy and France remain strong as they do in California with respect to the utility project, carrying out RESAP program, which has been grandfathered in Canada and under which we built the initial Sarnia project as it is continuing to be a good driver of volume for us. So fairly positive things to report on the market environment. The significances of that is really twofold. The positive significance one, inventories have reduced as a consequence not only for First Solar, but for our customers and really for the industry, and the ability now to go into Q1 with normalized very low inventories I think they are very significant positive factor. The other of course is the strong demand has been to enable us to sell all we could produce this year in a year where we produce as much as we possibly could. And so we're obviously delighted that in the market and business environment that’s prevailed for the year we've able to achieve that. I guess on the negative side, we would say crystalline silicon module pricing in 2010 and therefore to some extent our module pricing remains unclear and subject to a number of dynamics that we can talk about. And as reported, as everybody I think knows there has been an election in Germany, it potentially for a reduction in the feeding tariff rates sooner than might have been anticipated had the election gone another way. We think it's really difficult to handicap where that’s going to come out in terms of scope and timing. So it looms with an uncertainty that we have to plan around. I've got several slides in here just to provide a little more color on the project pipeline we've been looking on. The first slide shows on a map, our U.S. project pipeline which totals 1.3 gigawatt now, AC. These are projects for which we signed our purchase agreements. Now with the exception of Blythe, which I talked about here in a minute these power purchase agreement all remains subject to a number of development contingencies. So we don’t take from this that these are firm take or pay type situations, but this is sort of the mouth of the funnel. It's important to build pipeline with quality projects that are financially feasible. That’s what we have been doing and making very good progress and we'll continue to do I might add. The next slide is an aerial photograph of the project that is currently under construction in Blythe, California, 21 megawatt AC. The off taker there is Southern California Edison under long-term power purchase agreement. We're partially completed today, we intent, the target is to complete construction of the entire project by the end of year. This project has not been sold yet, but we're in a number of discussions with potential buyers and working – beginning to work that. In the end we'll discuss how that inter plays with our guidance. The next slide is an aerial photograph, a recent one of the Sarnia project, we're approximately two-thirds completed with the construction of that project. The target is to complete that in December. That project as I mentioned has been sold to Enbridge and I would say in both of these cases we're very pleased with the speed at which our construction has proceeded, and with the cost reductions and efficiency improvements, productivity improvements we are seeing. And so lot of this as you know for us there is a strategic element here in terms of reducing our module cost and we feel we're obtaining the benefits that we hope to. This last slide, I think just highlights what we are doing – at least did in the third quarter with our European customers with respect to North America. We supplied EDF EN with 23 megawatt DC worth of modules for deployment in projects in Ontario, Canada under that RESAP program and as I mentioned supplied Juwi with 27 megawatts some of which will go into projects for Jacksonville Electric Authority in Florida, and then the balance for AEP in Ohio. The last slide, just summarizes what’s been pretty well publicized, the memorandum of understanding we entered into the city of Ordos to build what will become overtime a 2 gigawatt PV power plant. In a nutshell, this represents a significant opportunity to serve what could be and likely –will be one of the most important significant markets in the world. But, it's also very early in the process and this opens the door for us so we got a lot of work to do. There are a lot of issues that have not been resolved and we've begun the work on first phase now, but we're excited to be serving this market. So in summary let me just give, the few points I think that capture it, the market demand is seasonally stronger, inventories have been reduced. We and our customers will enter 2010 in a healthy position from a balance sheet perspective. The rebate program combined with the market dynamics is facilitating throughput. It's been successful from our standpoint, and the fact that we maintain fairly strong gross margins we view that as significant. Overall, our efficiency cost in throughput improvements are inline with the mid-year targets that we laid out. We feel good about that, and we're progressing with the development of our project pipelines for the future both with respect to North America and China. So with that, let me turn the discussion over to Jens Meyerhoff, our CFO who will summarize our financial results for this quarter. Jens?
Jens Meyerhoff : Thank you, Mike and good afternoon. During the third quarter, we continue to experience strong module demand, aided by competitive pricing, strong seasonal trends in our core markets, and our growing systems business. Net sales for the third quarter were $480.9 million. The decline of $45 million compared to the second quarter of 2009. The decline was driven by increased module shipments to EPC sites most notably to Sarnia, the reduction in pricing driven by our rebate program, the lower blend of foreign exchange rate of approximately $11 million, and the fact that the second quarter benefitted from $27 million of deferred revenues for the Lieberose project. While we shipped our entire production to customers and project sites, revenues of approximately $58 million were not recognized during the quarter as the revenue recognition criteria for the Sarnia project had not yet been met. We produced 292 megawatts during the third quarter at 1% over the prior quarter. During the third quarter, we started to decommission line one in Perrysburg, Ohio as we transitioned the site to a four-line configuration. Gross margin for the third quarter was 50.9% down 5.8 percentage points over the prior quarter mostly due to the effect of the more competitive pricing environment, customer mix and foreign exchange rates modestly offset by lower cost per watt. The third quarter gross margin is primarily reflective of our PV module business, and system business revenues were not material in the third quarter. Operating expenses declined by 11.9 million sequentially. SG&A was down 18.9 million due to the non-recurring items reported on our Q2 earnings call that burned operating expenses by $9.1 million and the fact that we've recorded one-time benefits of approximately $9.6 million during the third quarter. Net of these effects SG&A would have been approximately flat. R&D expense increased by $5.5 million per quarter over the prior quarter, driven by continued execution of our technology roadmap to improve efficiency and lower overall production cost. Operating expenses were unfavorably impacted by rise in [transaction] cost of 1.6 million related to our Perrysburg expansion. Operating income for the third quarter was 162.8 million or 33.9% of net sales compared to 204 million or 38.8% during the prior quarter and included 22.2 million of stock based compensation expenses. Net income for the quarter was 153.3 million or $1.79 per share on a fully diluted basis. The effective tax rate for the third quarter was 7%. For the third quarter free cash flow was positive at 114 million driven by operating cash flows of $179 million. Year-to-date free cash flow reached $51 million after financing $210 million of capital expenditures and $290 million of Accounts Receivables due to our revised payment terms. We expect free cash flow to remain positive during the fourth quarter. We spent $65 million of capital equipment, capital expenditures during the third quarter against depreciation of $35 million. Cash and all other marketable securities increased by $53 million quarter-over-quarter to $830 million in the third quarter principally due to the improved freer cash flow offset by debt repayment of $49 million for the financing of our Frankfurt/Oder manufacturing site. Our debt-to-equity ratio improved from 10% to 8% during the third quarter leaving the balance sheet largely un-leveraged. Rolling four quarter [inaudible] was 28.2% down from 29.4% in the prior quarter. During the third quarter First Solar secured a $300 million revolving credit facility from nine leading banks that by JP Morgan securities and Bank of America Merrill Lynch. The agreement grants the right to increase the facility to $400 million over time if needed. The facility has the three year term and the market now dominated by one-year terms with the current borrowing rate of approximately 3.5% indexed to LIBOR. This line of credit in our cash and marketable securities balance now represent over $1 billion of liquidity that provides flexibility for our short to medium term business needs. This brings me to our guidance for 2009, which is raised to the higher end of the previous guidance. We have made several key assumptions underlying our guidance. First, for the first quarter 80% of our expected net sales are hedged at an average exchange rate of $1.36 per euro. In addition our natural hedge brings a net income at ratio to 97% for the first quarter. We assume an average exchange rate of $1.45 for euro for the net portion of our guidance bringing the average euro exchange rate to $1.38 per euro for the quarter. As of today $0.01 euro fluctuation impact of our 2009 net sales by about $500,000. Our guidance assumes about 15 to 25% of our first quarter net sales to be driven by systems revenues. We expect a one-time Q4 SG&A of $11.5 million for the recording of the previously announced CEO compensation expenses. Finally 8.2 million of the capitalized project assets related to the Optic Solar acquisitions will be amortized in the fourth quarter with the Sarnia project sale. Now to our 2009, we are raising our previous net sales guidance to a range of $1.975 to $2.025 billion. We expect plant start up cost of $14 million; stock-based compensation is estimated at $85 million was approximately 20% allocated to cost of goods sold. GAAP operating margin is expected 34% in low case of the revenue range and reduced to the 33%of high case of the revenue range, due to higher portion of EPC sales. We expect our 2009 tax rate to be 7% to 8%. Year-end 2009 fully diluted share account guidance is an estimated 86 million to 87 million shares. CapEx for the year is expected to be 260 million to 275 million. To provide a little bit more detail of the implied guidance for the fourth quarter, we can look at slide 31, which shows that the net sales guidance range of $550 million to $600 million for the first quarter and the low and high case. With plan start-up cost of 1 million and stock base compensation expenses of $28 million with a gain about 20% allocated to cost of sales. The GAAP operating margin is expected to be 25% in the low case and reduced to 23% in the high case, again due to the higher EPC mix. We expect our Q4 tax rate to be 10%. Year-and 2009 fully diluted share count guidance is estimated again at 86 million to 87 million. CapEx is expected to be $50 million to $65 million for the fourth quarter. For more detailed analysis slide 32 reconciles for you the implied Q4 gross margin as a result of this guidance. Module margins are expected to remain flat compared to the third quarter at between 50% to 51%. Consolidated gross margin are expected to decline in the fourth quarter to approximately 41% to 44%, due to the increase in EPC revenue mix. Amortization of project assets related to the acquisition of OptiSolar and ramp cost associated with the Ohio plant expansion. Going to slide 33, you see the same reconciliation at the operating margin level, reflecting the changes in gross margins discussed in the prior slide and the added CEO hiring cost as a one time post quarter expenses. With this, we conclude our prepared remarks and we would like to open the call for questions. Operator?
Operator: [Operator Instructions] We’ll take our first question from Steve O'Rourke, with Deutsche Bank.
Steve O'Rourke – Deutsche Bank Securities: Hi thank you. Just a first question how should we be thinking about system business gross margin going forward is there, is there a metrics you can kind of give us on this?
Unidentified Company Representative: So, I would say Steve, I thing the best guidance to be up around the impact of the EPC portion of our business on the overall consolidated margins can be found in our analyst slide deck that we represented to you back in June.
Operator: We will take the next question from Sanjay Shrestha, with Lazard Capital Markets
Sanjay Shrestha – Lazard Capital Markets: Good afternoon guys. Just a quick point, I want to make sure I am doing the math right. So, based on the crystal and model ASPs in Q3 and based on what you guys said your shift versus your revenue recognition seems like there is still about, 35 sample watt kind of a difference between pricing. When you guys think of that you start to get a benefit for a higher yield, on a rated KW basis for you guys, and is that sort of a rough number that we should use for 2010 in terms of regardless of what the crystal and price is that should the difference between you guys versus the general crystal and module prices.
Jens Meyerhoff: I would think there is probably two questions in that, I would say question number one. We high light the Sarnia system, we shift actually module versions to other EPC sized or dominantly the blide site here. So, however since we haven't signed a contract as of today, we don't believe it's appropriate to call that out of the reconciliation for the third quarter revenues, it certainly accounted for the amount of modules. As it relates to your second question is there an opportunity to benefit from better product performance in the field better energy yields, we believe the answer to that is yes, we actually will see that these cases are built and in many cases into the financing cases as that we have seen in Europe.
Operator: We'll take our next question from Rob Stone with Cowen and Company.
Robert Stone – Cowen and Company: I wonder if you have any preliminary comments on you, thinking about capacity beyond the Ohio expansion? Thanks.
Jens Meyerhoff: Bruce you want to take that one?
Bruce Sohn: Yes. So I'll look at capacity is predominantly strengthening our view of how the markets develop over time. Certainly, our ongoing work with efficiency and blind run rate afford us the ability to continue to expand also even in the absence of bricks and mortar construction. We continue to evaluate the timing and prepare ourselves for additional growth as we see fit and we look to future, the December meeting to make any future decisions on that.
Jens Meyerhoff: So, I think Rob our guidance that we're giving for 2010 will certainly comprehend any type of capacity decisions when we talk about CapEx, start up cost et cetera.
Operator: We'll take our next question from Steve Milunovich with Merrill Lynch.
Steven Milunovich – Merrill Lynch: Thank you. Could you talk about how often you found you had to use the rebate during the quarter and sort of where the benchmark price was comparatively and if you still believe there is about a $40 million to $60 million second half hit to revenue from them?
Jens Meyerhoff: So, the rebate was issued broadly into the market segments, so the rebate is not functioning in a case-by-case basis, so the rebate was offered broadly when certain criteria met. Generally, we don’t like to compare our pricing as the benchmark of crystalline silicon pricing for the simple reason that this has gotten a lot much more competitive pricing environment then I think open broad reconciliation of pricing probably doesn’t help our competitive position, nor does it help the industry. Generally, the original estimate that we gave, which was in the range of about 35 million euros to 50 million euros when we estimated the 40 to 60 at our spot market assumption. That budget has gone up, so we have seen a higher degree of rebate consumption that higher degree of rebate consumption today, we’re estimating just for the 3rd Quarter probably approximately close to 50 million euro impact that was driven by much higher demand in the German market. So, we saw a lot more volume gravitating due to the strong seasonal pattern that we’ve seen into German demand. Obviously, our margin performance in this quarter reflects that we gave you, actually this time guidance on our module margins for the fourth quarter you see that unchanged that we can expect similar dynamics for the first quarter.
Operator: We'll take the next question from Timothy Arcuri with Citigroup.
Timothy Arcuri – Citigroup : Hi Jens. If I sort of just back into your guidance and I take sort of the mid-range of the systems guidance. I sort of come up with roughly 7% to 10% gross margin in the systems business, which is a bit lower than I thought it would be and I'm wondering if that's just the first couple of system you are shipping or is that sort of the right number to think of going forward and then also on the rebate any thoughts on extending the rebate beyond Germany? Thanks.
Jens Meyerhoff: So, at this point in time I would say with respect to system guidance, I think similar to my answer to my to Steve, I encourage people to look at the analyst deck, actually that 8% to 10% margin roughly we used indicative roughly actually, those numbers in that deck to up the EPC business is not a profit centre, it's a throughput enabler of our module business. And so I, again I encouraged people of how we think about these two reporting segments and now reporting on them financially. As it relates to rebates or pricing outside of Europe, we have not offered our rebate program outside of Germany. This consolation is outside of Germany. However, we believe we have a very competitive offering in the non-German European market.
Operator: We'll take the next question from Brian Gamble with Simmons.
Brian Gamble – Simmons : Yes, good afternoon. Was wondering if you could possibly go over, you haven't touched on, on China yet. Maybe go over a little more on the strategy there, IP risk in the country and maybe a little bit on what potential cost drivers could develop there and how that could be a benefit to your overall cost?
Mike Ahearn: Our interest in China really starts with market opportunity and the ability to engage around the Chinese market as the program that they have been working on has ruled out. So, there really isn't, has not been much in the market in China. So the downstream channel are not well developed, there is not a lot of capacity to deploy significant volumes. So, we sort of start with the structure of the Ordos project in the way we phased it, really it is designed to get a start here in the next few months build 30 megawatts, engage with local installers and suppliers and begin to get traction and then expand that in an orderly fashion and hopefully leverage off of that into a number of other projects. Somewhere during the course of this work, we are going to be looking at manufacturing sites. So we will address the IP issue you raised, and some of the other manufacturability issues are going to come to the table. The deal is not structured to require that we manufacture prior to getting started on the market, and so it would be our intention, you know priority wise to really work this first 30 megawatt phase, but I do think if we can address the same issues on manufacturing we would attach to any market. If we can address that, get into production there is a good opportunity for low-cost manufacturing in China, and the rest of the value chain, I think there is significant cost reduction possibilities and we've got teams put together now, we are just starting to repeat, do the drill down.
Operator: The next question comes from Satya Kumar with Credit Suisse.
Satya Kumar – Credit Suisse: Yeah. Hi thanks. What portion of your shipments will be to the German ground mounted market in '09 and what portion is Germany in general and given there is a lot of talk about the government might move to limit ground-mounted inflation, what are your thoughts on that? How do you plan to adapt if you see a decline in the German ground mounted market in 2010?
Jens Meyerhoff: I mean, generally historically and I think the current activity I don't think deviates on the trend swap there have been about 50% to 60% of the shipments that have gone in to the German market have found installation in the free field market. So, which means approximately 40% to 50% are on rooftops. So, if there is pressure with respect to the free field markets, the question will be A, by how much would additional digression happening and was that in par long-term viability or by ours, we don't know that today, but we believe also and I think it shows that we have with compelling offering on the rooftops that are in the European and German.
Operator: The next question comes from Jesse Pichel with Piper Jaffray.
Coney Wayne – Piper Jaffray: Hi this is [Coney] Wayne for Jesse Pichel. Sun Edison has historically had First Solar projects and business with 1 gigawatt plus in the pipeline. Now, that a silicon company has acquired Sun Edison, do you see a shift going to our customers from Zental?
Jens Meyerhoff: So, I mean generally I don't think we'll really talk, I don't think this is the right place to talk about customer specifics. So, we are not in detail with respect to what Sun Edison's plans are post the MEMC acquisition. All I can tell you is that Sun Edison does not account anywhere for anyone near measurable or material amount of our business.
Operator: The next question comes from Stephen Chin with UBS Securities.
Stephen Chin – UBS Securities: [Inaudible] how confident are you at this operating margin as far as it's 23% to 25% levels or is EPC sales mix as a percentage of total sales kind of peaking at this 15% to 25% of sales or going forward is this likely to change materially?
Unidentified Company Participant: Hey Steve, can you repeat those because you were very hard to understand. It sounds like you are on the cell phone.
Stephen Chin – UBS Securities: Yeah I apologize, just on the guidance I was wondering how confident you are that this operating margin has a floor of 23% to 25% going forward is the EPC sales mix as a percentage of sales kind of peaking at this 15% to 25% of sales going forward, Jens?
Jens Meyerhoff: So, again, I think if you look at our long-term financials model that we presented on multiple occasions, right that would suggest actually that we do, that we do better than the 23% to 25% floor. You got to think about this EPC business, while these are our first larger commercial installation we are doing, we are making very strong progress with respect to reducing the balance of PAN cards all of those obviously are will be over time marginal accretive. So, as we continue to scale our business, lower our cost and balance a plant in addition to our cost road map that we have on modules, we -- from today’s point of view had no reason to believe we would not be mee1ting our long-term financial goal.
Operator: The next question comes from John Hardy with Broadpoint AmTech
John Hardy – Broadpoint AmTech: Yeah thanks for taking my question, this is sort of a follow-up on the last question, you obviously have a lot of visibility in your long term contracts for next year, as well as it seems like the utility pipeline in the U.S. is expanding a little bit. So, I was wondering if you could sort of narrow the range on what you think this system mix will look like in 2010 and may be an update on that utility project pipeline you can gave at the analyst day.
Unidentified Company Representative : So, maybe one more time to clarify the 23% to 25% we had showed on one of my slides. So, first of all keep in mind there is about 3, 4 percentage point of items that are either ramp related that relates to the Ohio plant or one time SG&A expense nature. So, if you take that out you had a 26% to 28% fees. As it relates to how we are looking at the U.S. utility pipeline, and how that phases in from a revenue prospective into next year. That probably will be one-item we will discussing in more detail on our guidance call in December.
Operator: The next question comes from Kelly Dougherty with Macquarie.
Kelly Dougherty – Macquarie: Hi, just a macro question on the Ontario market, obviously you are pretty well positioned up there with the food and tariff, I was wondering if you can give us some kind of expectations for the market in general and what First Solar might be able to do given the OptiSolar pipeline preliminary that you acquired in Canada?
Unidentified Company Representative: Yes, I mean, I would say as the majority of the pipeline that we acquired out of OptiSolar is all under the resell program and not under the fit program. The resell program has been ramp [positive] against the provisions that you have found in the fit program, the feed in tariff program obviously requires certain local content provisions that we’re analyzing, but essentially as we looking out of the OptiSolar acquisition, right now, the assets acquired there fall into the re-SOP and we are continuing to execute under those pipelines. Sarnia one that we discussed today is one example of them.
Operator: Our next question comes from Colin Rusch with Thinkequity
Colin Rusch – Thinkequity : Yeah, good afternoon. Can you talk a little bit about the markets outside the major subsidized markets and how do you see development of projects evolving there particularly India and in the Middle East and where do you see, what you expect over the next year to three years in term of the volume and the taking as an evolvement there?
Unidentified Company Representative: Yeah, I can tell you what we are seeing. Colin. I think there is activity in, you mentioned two of them in parts of the Middle East, India, China. I think they are all similar in the sense that they have not been the solar markets. They don't have a developed down stream capability. The subsidy programs that will drive, growth are still being put in place and traditionally, you know when markets are in this stage it takes a while before you really get to robust predictable demand, but it's important to participate early and be part of the learning and in our case I think, we can help facilitate these markets, both with the well priced models that offer some best practices and so forth. So, we would anticipate some volumes in these and other new markets 2010 and 2011, but I would assume, that this could take a while before they become, before they get to a strongly vertical trajectory, that's basically where we are.
Operator: (Operator Instructions). We go next to Ramesh Misra with Brigantine Advisors
Ramesh Misra – Brigantine Advisors: Good after noon guys, in regard to your EPC business, how that trends up, what are your revenue recognition procedure as going forward. Will it be based upon completion, the entire completion of the project or is it on a percentage completion? If you could give some guidance over there?
Mike Ahearn: Okay. So I think generally the most prevailing method would be a percentage of completion method, there are exceptions incurred. I think in rare occasions get to a completed contract method. There are other standards guiding revenue recognition, if land is involved in the transaction and power plant is build on owned land and land is part of the sale. At that point in time, you get into the territory of real estate accounting, which actually puts you in most cases more towards completed contracts. So that is probably one area we usually - probably would look like to avoid so where you separate the real estate from the power plant sales. Those are the the applicable standards for the agency business.
Operator: And we'll take a follow-up from Satya Kumar with Credit Suisse.
Satya Kumar – Credit Suisse: Yeah, hi, thanks. I just was wondering on the amortization expense for the OptiSolar acquisition. Your acquisition cost of $200 million for which you got another gigawatts - more than a gigawatts of projects. How did you arrive at $8.2 million amortization in Q4, and how should we think about that effect going forward?
Jens Meyerhoff : So you may recall that on our last earnings call as I believe is where we outlined how we consumed the OpticalSolar acquisition, and thanks to the goodwill that we recorded, we recorded also approximately $103 million whereas the project assets that we acquired. So these project assets related obviously relate by definition to specific projects. So as these projects get completed and sold to relaed portion of that $103 million is amortized and expensed into the P&L.
Operator: We'll take a follow-up from Timothy Arcuri with Citigroup.
Timothy Arcuri – Citigroup: Hi Jens. Just kind of generally how you think of pricing going forward, you know, many of your customers are sort of you know indicating that you don't really have much of a reason to cut pricing given that you are selling everything that you produce. Yet crystalline pricing is in many cases sort of inline with where you are right now on an efficiency adjusted basis. So I'm sort of wondering as you think about pricing, is it a proactive approach or is it a reactive approach where you won't cut pricing until you begin to lose business, and until you begin to kind of get to that point where you are not selling everything you produce? Thanks.
Jens Meyerhoff: So I mean obviously we’ve certain market share goals, and we defend our market share pricing as a function of supply and demand. I mean maybe we take you next time to one of our customer meetings if they tell you there is no reason to cut any prices or increase prices and that obviously always help. So I mean we price to clear the product, and that can be on a case-by-case basis. We are the industry leader, does mean that we have to be the price leader on each and everyone occasion. I don't know whether that means that. We want to turn our production and maintain market share in our core markets and that guides our pricing decisions.
Operators: We'll take the next question from Mark Bachman with Pacific Crest.
Mark Bachman – Pacific Crest: Hi Jens. Quick question for you on a percentage of completion for the EPC revenues why wasn't Sarnia then recognized this quarter, was it the fact that you sold it at the start of Q4?
Jens Meyerhoff : So we did not have a signed contract. You need to have a sales contract, you need signed contract in order to have any form of revenue recognition. That criteria did not exist at the end of the third quarter.
Operator: And we've no further questions in the queue. This will conclude today's conference and we thank you for your participation.